Operator: Good day and welcome to the NCR Corporation First Quarter Fiscal Year 2018 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Michael Nelson, Vice President of Investor Relations. Please go ahead.
Michael G. Nelson - NCR Corp.: Good afternoon and thank you for joining our first quarter 2018 earnings call. Joining me on the call today are Mike Hayford, NCR's newly appointed CEO; Bob Fishman, CFO and Paul Langenbahn, COO. Before we get started, let me remind you that our presentation and discussions will include forward-looking statements. These statements reflect our current expectations and beliefs, but they're subject to risks and uncertainties that could cause actual results to differ materially from those expectations. These risks and uncertainties are described in our earnings release and our periodic filings with the SEC, including our Annual Report. On today's call, we will also be discussing certain non-GAAP financial measures. These non-GAAP measures are described and reconciled to their GAAP counterparts in the presentation material and on the Investor Relations page of our website. A replay of this call will be available later today on our website, ncr.com. With that, I would now like to turn the call over to Paul.
Paul Langenbahn - NCR Corp.: Thank you, Michael, and thanks to everyone for joining us today for our first quarter conference call. I'd like to begin today's call by recognizing the incredible job Bill Nuti has done during his 13-year tenure leading NCR. Over those many years, NCR has reinvented its business and built a $2 billion software business and secured a leading market position in the cloud as we successfully transformed our offerings, our market approach and our culture. Bill has been a mentor to me during my time at NCR and I wish him well in his retirement. I would also like to welcome Mike Hayford as NCR's new CEO. We're very excited to have Mike lead NCR with his deep experience across a range of transaction-driven software and technology solutions businesses. Mike's track record of driving growth and profitability and changing businesses makes him the right choice to lead NCR as we evolve the company into a software-led solutions business. With that I would now like to turn the call over to Mike for comments.
Michael Dale Hayford - NCR Corp.: Thank you, Paul. I'm delighted to be here this afternoon, my second day on the job, and share a few of my initial thoughts. First, I'm very excited to have the opportunity to lead NCR into its next chapter. What do I see in NCR? It starts with an iconic brand built on a long history of industry leadership, a sales and service culture that focuses on our clients and a blue chip customer base. I've spent my entire career in technology businesses delivering integrated software and services to businesses. In a B2B business, I can't think of a better place to start in a recognized brand, a world class distribution and a loyal customer base. My initial priority will be getting out and meeting with our customers and hearing from them what makes NCR unique. I will also be out meeting with our 30,000 dedicated employees across the globe. Our business priority will be simple, growth; how we leverage our customers, our distribution and our installed product base to expand and grow our business. Paul, myself and the entire leadership team at NCR will be focused on this priority. I'm sure that you also saw that Frank Martire will be joining NCR as Executive Chairman next month. Frank and I have worked together since 2003, together we have successfully built and grown Metavante and later built FIS into the global industry leader for financial technology. I'm very excited to be working with Frank again. With that I'll turn the call back over to Paul.
Paul Langenbahn - NCR Corp.: Thanks, Mike. We're off to a good start to 2018 with first quarter results that largely exceeded our expectations and place us on solid ground to achieve our full year financial and operating targets. We're executing our strategy at a high level and delivering growth across many of our key growth metrics. This includes cloud revenue growth of 9% in the quarter as we continue to see strong customer demand and further our transition to becoming a software-led enterprise. We also generated solid net ACV of $18 million, further demonstrating the innovation and value our solutions deliver. Given the strong first quarter performance in terms of revenue and net ACV, we are on our way to achieving our target of roughly double-digit top line cloud growth this year. Our Services business had a strong first quarter from both a revenue and margin perspective. The 8% top line growth in the first quarter speaks to strong sales execution and how our diverse solutions are capturing incremental wallet share from customers. This revenue growth is being supported by the continued execution of our transformation initiatives as we look to modernize our Services business and increase agility, efficiency and productivity. This helped drive 230 basis points in gross margin expansion for Services in the first quarter. Today, we are confident in our overall strategy to transform NCR, our leading position in critical areas like channel transformation, digital enablement and omni-channel and our expanding market opportunities across the globe. This confidence as well as our strong free cash flow profile led us to previously announce a $300 million share repurchase program for 2018. We completed $165 million of that planned authorization during the first quarter. Lastly, as I mentioned, we are reaffirming our guidance for the full year given the strong first quarter performance. Slide number 4 provides a snapshot of our financial performance during the first quarter. We generated revenue of $1.52 billion, which was up 3% as reported, and flat on a constant currency basis, which put us ahead of the guidance range we provided on our Q4 call. Recurring revenues continued to increase, up 5% in the quarter. As a reminder, NCR's recurring revenue includes cloud, hardware and software maintenance, and managed services revenue. At the end of Q1, recurring revenue represented 48% of our total revenue. We focus on this metric because this basket of revenue generates higher margins than total enterprise margins and is indicative of the sustainability of future revenues and margins. Our non-GAAP gross margin rate contracted by 80 basis points, as reported, and 100 basis points on a constant currency basis. Higher revenues as well as the ongoing implementation of our transformation initiatives drove solid margin expansion in our Services business which was more than offset by lower margins in Software and Hardware. Non-GAAP EPS was $0.56 which finished ahead of our guidance range and included an $0.08 tax benefit versus our previous guidance. Lastly, free cash outflow was $99 million due to the timing of working capital. As a reminder, our traditional free cash flow linearity includes higher working capital requirements earlier in the year. We remain confident in our full year free cash flow guidance. Moving to slide 5, which shows NCR's current solution ecosystem and the innovation and value we deliver customers across a number of critical and operational business functions. The center shows our three primary strategic offers: channel transformation, digital enablement and omni-commerce analytics. From these three primary strategic offers flows a robust solutions portfolio. Our solutions encompass end-to-end integrated hardware, software and managed services offers such as self-checkout in the channel transformation category, as well as best-of-breed applications such as digital banking and Pulse Real Time. This is consistent with our strategic vision to transform NCR into a software and services-led, data-driven enterprise. Today NCR delivers more value to customers than ever before through a deep understanding of our markets, the ever changing nature of consumer transaction preferences and continuous commitment to innovation. This is clearly evident in our recent strategic multiyear win for a new project with National Payments Corporation of India or NPCI. NPCI has been a long time valuable customer of ours and its clearinghouse is the largest single country clearinghouse in the world processing an average of 4.5 million checks each day. NPCI entrust NCR to run its clearinghouse solutions and manage the entire process of implementation support, roadmap and the entire lifecycle of their solution. This is a great example of the innovation and value we bring to digitizing the country's infrastructure. Our value proposition and store transaction transformation is also strong and was a primary driver by our recent win with EMART; one of the two largest retailers in South Korea. NCR will deploy 360 self-checkout units across EMART's 60 locations and the wind provides us with an opportunity to expand our market share in Korea. Lastly, our engagement with Muscat International Airport in Oman, we're through a multiyear engagement, the NCR team designed the IT infrastructure and coordinated the installation process for 36 separate IT systems from 27 different vendors. The incredible complexity of this project demonstrates our ability to execute and to scale our people and resources, to deliver transformative change and value to our customers. Moving to slide 6 and an update on the execution of our multiyear restructuring program. As we discussed last quarter the plan is focused on three key areas; first, optimizing our solutions portfolio with a focus on the highest margin opportunities; second, accelerating the structural changes we are making around key service areas and modernizing that business; and third, strengthening our Hardware supply chain and manufacturing network to drive sustainable, higher long-term margins. As a reminder these transformation initiatives are expected to generate annual run rate savings of $150 million by 2020. We have recently taken steps to strengthen our global manufacturing footprint and supply chain. Let's turn to slide 7 and take a deeper dive into our hardware manufacturing strategy. Last week, we took several steps related to our manufacturing network redesign as we look to build products better and more efficiently. We are taking difficult but necessary actions as we execute on our strategy to accelerate our transformation to a software and services-led, data-driven company. We are closing three of our manufacturing facilities and will shift their production to our three remaining plants while also moving some production to a contract manufacturing company. We continue to take a hard look at our Hardware business to identify additional opportunities where we can streamline our operations. Our use of third party manufacturing will allow us to shift our cost basis from a largely fixed structure to a more variable structure, which will help us mitigate our P&L exposure to Hardware demand cycles. In addition, the reduction of our manufacturing footprint will drive increased global utilization rates and help optimize our supply chain network. While these decisions are not made lightly, they are necessary to strengthen our global competitive position and overall cost structure and best position NCR for improved profitability and free cash flow production in the years ahead. With that, I'll turn it over to Bob who will walk through the financial performance and outlook in more detail. Bob?
Bob Fishman - NCR Corp.: Thank you, Paul. Slide 8 shows a summary of our segment results for the first quarter with increases in Software revenue of 2% and Services revenue of 8%, and a decrease in Hardware revenue of 3%. The impact of the new revenue recognition guidance is included in our Q1 results and had an immaterial impact to revenue and is suspected to have an immaterial impact for the full-year. Gross margin in our Services segment expanded 230 basis points offset by a decline of 350 basis points in our Software segment and a 190 basis points in our Hardware segment. We will go into the details as we walk through each segment. These results drove $0.56 of EPS in the quarter versus our previous guidance of $0.41 to $0.47. Q1 results benefited from a lower tax rate than our previous guidance. The tax rate in Q1 was 16% versus our guidance of 28% and provided an $0.08 benefit to EPS. The lower rate was due to the timing of favorable audits settlements that was previously anticipated in the second quarter. Slide 9 shows our Software results. Software revenue in Q1 was up 2% driven by an acceleration in cloud revenue growth of 9%. We're pleased with the cloud bookings in the quarter with net ACV of $18 million demonstrating the strength in our cloud business. Professional services revenue increased 8% due to strength in channel transformation and digital enablement solutions. Software license declined by 18% due to lower Hardware revenue, the timing of large Software transactions in the prior year and the beginning of a shift from software license revenue to cloud revenue. NCR is transitioning towards selling more of our software solutions on a subscription basis. As we introduce new software solutions to market, they will be cloud enabled and drive increased recurring revenue. The transition from software license to cloud will occur over a multiyear timeframe and will lead to more consistent Software revenue growth. In the quarter, software maintenance declined due to lower license revenue in prior periods. Software gross margin rate was down due to lower software license revenue, which was partially offset by margin expansion in our cloud business. We expect margins for the Software segment to increase over time as we see improved performance in cloud revenues and we continue to expand software maintenance and cloud margins. Turning to slide 10. Services had another strong quarter with 8% top line growth and gross margin rate expansion of 230 basis points. The revenue increase was primarily driven by growth in hardware maintenance and implementation services as a result of continued momentum in managed service offerings and channel transformation trends. We are also increasing our wallet share from the current installed base as a result of improved customer satisfaction. Services gross margin rate continues to expand, due to sustainable profit improvement achieved through our M1 initiative. M1 is centered on modernizing our service business in terms of how we face and service our customer base and identifying the areas where we can improve our structural efficiency. We are also focused on driving higher managed services which helps top line growth and achieve stronger margins. Our investment in big data analytics, predictive monitoring, and customer onboarding continue to reduce the number of repair dispatches and allow customer service cases to be resolved more efficiently, increasing margins in the Services segment. Sustainable service margin expansion remains a key focus as we execute our strategy. Turning to slide 11, Hardware revenue was down 3%. Our point-of-sale Hardware portfolio continues to show strength growing 19%, reflecting market share gains and store transformation momentum. ATM revenue was down 7% as expected due to lower backlog at the beginning of the quarter. ATM orders are showing signs of improvement to start the year. Self-checkout revenue was down due to the timing of large customer roll-outs. As a reminder, self-checkout was up 124% in Q1 last year. Hardware gross margin rate declined due to lower Hardware revenue and an unfavorable mix of less SCO revenue. Improving Hardware margin rates is a significant focus of ours as we implement our manufacturing network redesign and drive higher revenue in the back half of the year. On slide 12, you can see free cash outflow for the quarter was $99 million compared to $16 million in the prior year. The decrease in cash flow was due to the timing of cash collections and higher inventory. From a cash-collection perspective, we collected $50 million in the first week of April which puts us back on track in Q2. Inventory balances increased to support higher Hardware revenue in the back half of the year and to transition to our new manufacturing strategy. As a reminder, the first quarter is typically a use of cash and then free cash flow increases as the business ramps over the remainder of the year. We are still expecting a free cash flow conversion rate of approximately 90% for 2018. Slide 12 also shows our net debt-to-EBITDA metric with a net debt leverage ratio of 2.4 times for Q1 2018, which is down from 2.7 times in the prior year. As a reminder, in Q1, we repurchased $165 million in shares. On slide 13, we are reaffirming our full year 2018 guidance. Revenue growth is expected to be flat to up 3%. Software is expected to grow low- to mid-single digits with cloud growing approximately 10%. Services is expected to grow low-single digits and include improved mix of higher-value services. And Hardware is expected to be flat to down mid-single digits. Our GAAP EPS is expected to be $2.08 to $2.48 and includes an estimated $100 million to $150 million pre-tax charge related to our restructuring plan. Annualized savings are expected to reach $150 million by 2020. Our non-GAAP EPS is expected to be $3.30 to $3.45 for the year up 3% to 8% versus the prior year. We expect free cash flow to be approximately 90% of non-GAAP net income. Our free cash flow guidance includes approximately $100 million for the transformation initiatives we discussed earlier. Next, we have our Q2 2018 guidance. We expect revenue to be down 1% to up 1%. Our non-GAAP EPS is expected to be $0.60 to $0.65. We are entering Q2 with backlog roughly flat. This is impacting our software license revenue and Hardware revenue in Q2. We expect lower profits in Q2 and improved performance as we build the backlog for the second half, expand gross margins and face easier comparisons versus the prior year. Our recurring revenue including cloud revenue continues to perform well. On slide 14, you could see our revenue and EPS trending over the last three years. Consistent with prior years, the guidance has more revenue and earnings in the back half of the year. Revenue is trending similar to last year and the three-year average and is supported by our backlog and funnel at the end of the first quarter. Our EPS is a little more back half-weighted than our historical average but similar to our 2016 performance and is supported by improving backlog, a larger mix of Software, expected gross margin rate expansion and benefits of our cost takeout programs. On slide 15, we provided a waterfall chart to bridge the changes from our first half EPS guidance to our implied second half EPS guidance. The bridge starts with the midpoint of our first half guidance of $1.19. We will drive roughly $400 million more revenue in the second half representing 1% year-over-year revenue growth. In 2017, we drove $374 million more revenue and in 2016 we drove $415 million more revenue, so very similar to historical trends. The $400 million incremental revenue in the back half is supported by higher backlog entering the back half compared to the backlog position at the beginning of the year. Higher Software revenue is driven by increased software license revenue and supported by higher Hardware sales and a balanced view of unattached software license revenue. We also expect continued growth in our cloud and professional services revenue. Services revenue will continue to grow and is supported by increased file value. We expect the $400 million of additional revenue to flow through at roughly 35% incremental margin, or $0.70 of higher EPS, in the back half. We have been hard at work improving our cost structure and driving efficiencies in the business. We expect the impact of all of our cost takeout initiatives will be roughly $0.50. These initiatives include our Hardware manufacturing redesign, our annual Hardware cost reduction and value engineering activities, M1 initiatives in our Services business and our strategic focus in Software around product lifecycle management and realigning resources. Finally, the higher expected tax rate in the back half of the year will create a $0.20 headwind. The effective tax rate for the year is 24%, which is 1% better than last year's 25% effective tax rate. The first half of the year will benefit from a number of discrete tax items. The trending analysis and the momentum in the business provides us with confidence in achieving our full year guidance. With that, I'll turn it over to Paul for closing comments.
Paul Langenbahn - NCR Corp.: Thanks, Bob. In closing, we had a solid first quarter and are focused on further executing our strategy and building momentum across our business. Recurring revenues are increasing, cloud growth is on track for a double-digit gain this year, and we remain committed to customer success through innovative go-to-market offers that differentiate NCR from our competitors. We've made significant progress strengthening our Services business and as a result, are winning market share and driving healthy margin expansion. The transformation of Services is bearing fruit and we are beginning to implement our plan in our Hardware business through a focus on simplifying our manufacturing approach and optimizing our global supply chain network. Our restructuring activities remain centered on accelerating our transformation to becoming a software-led enterprise, and we continue to target $150 million of annual run rate savings by 2020. We will also continue to take a balanced approach to capital allocation and utilize our strong free cash flow generation to provide direct returns to shareholders via our share repurchase program. We're excited about the year ahead and further shaping the nature of how businesses and consumers interact and transact around the globe. Thank you for your time. And now Mike, Bob and I will take your questions.
Operator: Thank you. We'll go first to Dan Perlin with RBC Capital Markets.
Daniel Perlin - RBC Capital Markets LLC: Thanks and good evening, guys. So the question I had, in this early period of time you're transitioning to more a cloud, SaaS-based revenue at the expense of license, I mean that tends to create kind of a net revenue decline for some time. And so what, I guess, I'm trying to figure out is what kind of rate of growth do you really think you're going to get out of cloud in order to tick up enough to really offset that drag at least initially.
Bob Fishman - NCR Corp.: Hey, Dan. This is Bob. Let me make a couple of comments. First, this transition from software license to cloud is over a multiyear time period. All of the impact is baked into the guidance that we've given, and we're very comfortable with this transition from a financial perspective.
Paul Langenbahn - NCR Corp.: Yeah. Hey, Dan. This is Paul. Just echoing what Bob said there. So first of all there's nothing coming this year that isn't implied in the guidance. And what we're seeing, thankfully, is kind of increased customer uptake in our cloud solutions. And it is a multiyear process, we're essentially re-platforming a handful of our key solutions to release in the cloud today. But don't think of it as NCR is flipping the whole model overnight, right? It's more of a rational approach over a few years. So we think we've got it modeled out well for this year and as we continue to evolve on that, we'll stay communicative on.
Daniel Perlin - RBC Capital Markets LLC: Okay. And then the second one is in relation to – well, I guess it so much stems on second quarter guidance which is definitely lower than we'd anticipated. But the bigger picture question is the backlog remains flat. It seems like it's been several quarters now where you just haven't been able to refill that funnel and it's continuing to push numbers out. I appreciate the bridge that you guys provided. But what kind of clarity or insight can you give us today, makes us feel better about your back half loaded numbers especially on the revenue side? Thanks.
Bob Fishman - NCR Corp.: Yeah. Dan, this is Bob. I'll go ahead first here. For us Q1 was very much a validation point from our perspective. We delivered roughly $0.09 over the top end of our guide but $0.08 of that was with tax related. We had a discrete item that we planned for Q2 that have moved into Q1. So from our perspective, operationally, we did what we said we would do in the first quarter. We had talked on our last earnings call about delivering 35% of our EPS in the first half and 65% of our EPS in the back half and that's effectively what we've guided to as part of this call. We feel good about the back half story when we look at orders, revenue and backlog going into the back half. We're comfortable that we're where we need to be. If you look at revenue, the $400 million of incremental revenue that we'll drive in the back half is very similar to what we've done the last couple of years. That revenue is up about 1% growth, so not a huge increase and that phasing (28:44) compares that were down roughly 2% last year. So, we think the revenue is very achievable. When we look at the mix of that revenue, the Hardware/Software/Services, which we believe that it drives the incremental profit that we've laid out. So, again very comfortable with the $0.70 increase in the second half versus the first half. Then we'll get another $0.50 of increase through our cost takeout initiatives. And what I like about those initiatives, it's not any one big activity that will drive the bulk of those savings. It's really a number of projects spread across Hardware, Software, and Services that gives us the margin improvement that we need in the back half. So overall from my perspective, Q1 did what we said we were going to do and we're in good shape going into the back half of the year.
Daniel Perlin - RBC Capital Markets LLC: Okay, thank you.
Operator: And we'll go next to Ian Zaffino with Oppenheimer.
Ian Zaffino - Oppenheimer & Co., Inc.: Hi, great. Question would be – I know you had a couple of delayed transaction in the past couple of quarters – did any of that hit this quarter or is that going to hit next quarter? Give us an idea of the cadence of when we should expect that.
Bob Fishman - NCR Corp.: Yeah. Ian, from our perspective, on the ATM side, we were pleased with orders for ATMs in the first quarter. They were up versus Q1 of the prior year and it's been a number of quarters since we've seen growth. So we were encouraged. For us it was one of the validation points that we needed. Remember, obviously, that ATMs were down last year significantly. We've guided to roughly flat this year and ATM orders up in the first quarter, gives us some sense of confidence for the rest of the year.
Ian Zaffino - Oppenheimer & Co., Inc.: Okay. Okay. And as far as the consolidation of the manufacturing facilities, when exactly (31:16) and just kind of give us the confidence to basically see if there's going to be any manufacturing operation hiccups, or consolidation hiccups, or how are you actually going to manage that process? Thanks.
Paul Langenbahn - NCR Corp.: Hey, Ian, it's Paul. I'll take that one. So, we've been planning for this move obviously for a while. It's something we took quite seriously. But if you look at the three plants that remain in operation, they're actually able to deliver on quite a lot of our volume. And so, we've kind of managed the risk in the transition down pretty small to begin with. And secondly, what I would tell you is the capabilities of the partners that we've selected have really improved over the years. So, we're pretty happy with them. Additionally, we brought in a new leader to NCR several months ago who has actually run this play several times in a similar sort of industry with GE actually. And so, we put a good team in place. We feel we're all over this obviously from an execution point of view and the risk is pretty small and contained given the capability of our other three plants.
Michael Dale Hayford - NCR Corp.: Yeah. This is Mike. I've been here – I mean this is obviously something that Paul has been looking at as he took on his role, and again, I've been here two days, I've looked at this twice each day. And first of all, there's obviously a lot of management focus on this. It is extremely important on that. It's important from cost effectiveness and getting the right scale and capacity in this business. But it's also extremely important that we deliver and don't have a hiccup. So, the first thing we've focused on with Adrian is executing this from the Hardware side, he is making sure that we do not have an impact to our customers. So the number one focus we have with him is no negative customer impact. The second thing, as we said, the quality of the product has to improve. He assures that the farthest move is to impact the quality and – not only variablize the cost structure but also improve quality of what we deliver. And the last thing is we spend a fair amount of time on what do we have as a backup plan, what do we have as a contingency plan with excess capacity in plants that we currently operate and own. So we'll continue to be very focused on this initiative.
Ian Zaffino - Oppenheimer & Co., Inc.: Okay. Thank you very much.
Operator: We'll go next to Dan Kurnos with The Benchmark Company.
Dan L. Kurnos - The Benchmark Co. LLC: Great. Thanks. Good evening. Just guys, kind of high level here now as you have a new transition at the top. We've talked a lot in the past about some of the underlying changes you guys seemed to be sort of moving through with sort of the game plan in place, execution-wise from a cost perspective. I know we've talked previously about end of life-ing and a few other things. And, I guess, I'm curious if with the change there right now if you guys are going to give time to Mike to kind of get his feet wet, his hands dirty evaluate the product portfolio and then make some of his own decisions or kind how we should expect – what we should expect to hear on the product front?
Paul Langenbahn - NCR Corp.: Hey, Dan. This is Paul. I'll kick it off here, Mike might want to say something. So yeah obviously, Dan (sic) [Mike] (35:13) reasonably new to the job, not quite 48 hours yet. But we've – oops, what did I say? Dan – sorry, Mike is new to the job. I did learn his name. We spent a lot of time really talking about growth and what the opportunities are for NCR. Obviously, all the efficiency plays we're running is what really give us the lever to pull to invest in growing this business. So those things remain really important to us, that's the blocking and tackling of running the business, is improving productivity, quality, efficiency, all of that. And so my sense is we'll stay focused on those things, but with a bend towards running those plays to kind of give us the capacity to invest in and growing NCR.
Michael Dale Hayford - NCR Corp.: Yeah, I mean, I – again, 48 hours is (36:18). So I'm not going to lay out a new strategy as we talked to you today that the strategy we have with the team that we have on the field to execute the team, we're going to continue. I will take the next 90 days and the team's probably already had a pretty good dose of Mike's views on the role, so we wanted to refocus on the customer and we're delivering to the customer because that's how we're going to generate growth, by going back into our customer base and upselling some products. And we're spending time just on how do we simplify – how do we simplify our game plan, how do we simplify how we execute for that client, how do we get product out the door. But it's going to be the next four weeks on getting Mike up to speed and understanding what we have. The team's been incredible in terms of enthusiasm a really go-get-it attitude to go forward. And then we'll work on what is going to be the plan going forward. And next call, we'll certainly give you an update on what our thoughts are.
Dan L. Kurnos - The Benchmark Co. LLC: Got it. And just quickly just to kind of expand on that a little bit is just to give you an open, Mike – just on sort of either best practices that you've learned that you think that you could potentially implement and/or your high-level thoughts obviously on fiber still just so we'd get a sense of what your mindset is coming into the position.
Michael Dale Hayford - NCR Corp.: Well, as I said, things we've done in the past, I'm a software guy, I'm a software solution guy, software service, bundled, we did a little bit of hardware work where I was. I'm actually excited about the fact that we can deliver products in the market that is a combination of the three that's very unique and is sticky. We've built a business at both Metavante and FIS but we did a combination of organic (38:13), we built a large engineering staff just like we do here. And I think it's very important to be able to create and build your own IP. But we also augmented that with tuck-in acquisitions where we can buy a product. Again, in my opening remarks, I talked about the value of the brand and the value of the distribution channels to go out and sell. We have a tremendous global distribution channel. So, how can we get more products by building, how can we get more products by doing some small acquisitions to buy the products and distribute it through our channel? I think you can expect to see bringing similar things the team's been doing that here. And that's what I've done in the past, that's what's Frank done in the past at our prior roles.
Dan L. Kurnos - The Benchmark Co. LLC: Got it. And just one last one if I could sneak it in. Just maybe more for Paul, since you touched on it again and haven't talked about it at the time. Just on the data side, it's been sort of a potential another leg to the stool. We've talked about monetizing data, it sounds like you're getting a little bit more aggressive on data aggregation. I don't know maybe that's a mischaracterization, but if there's any thoughts on that channel especially if you consider the shift from software to cloud and the ability to capture that particular channel and vertical.
Paul Langenbahn - NCR Corp.: Yeah, Dan. As we connect our existing customers' solutions to our cloud platform, it creates all kinds of opportunities for us there. Now, one thing I'll always start off by just saying is that, first of all our customers' data is their data and we always respect that. And our first job is how to use that data to make our solutions more valuable for them, right, how do we create richer customer experience, consumer experiences, how do we help our customers sell more to their customers, right, attract more frequency, selling them more products, et cetera. So that is first and foremost what we do and the value that we drive through the platform. There will be other opportunities to take that data, use it for benchmarking type of services, et cetera, where we can create really interesting solutions that, for instance, not only – take a restaurant for instance, not only demonstrate to a restaurant how their own location is competing against itself the same day last week or the same day last year, but maybe how they're competing against their peer group in their area, to give them more insight into how their business is performing. So there's all kinds of places this can go in the future for NCR. What's important to us right now is really just getting our customers connected. And that's what our focus is on this year so that we kind of earn the right to start delivering those sort of applications.
Dan L. Kurnos - The Benchmark Co. LLC: All right. Got it. Thanks for all the color, guys and my congratulations as well...
Michael Dale Hayford - NCR Corp.: Thanks.
Operator: We'll go next to Matt Summerville with D.A. Davidson.
Matt J. Summerville - D.A. Davidson & Co.: Thanks. Just to follow up on the manufacturing outsourcing, knowing that you guys went down this path before and I think Bill back at Symbol went down the path there. Secondly, first time around at NCR you brought it back in and he specifically concluded NCR to do it easier, cheaper and faster. And maybe if you can compare and contrast what the situation is for NCR now versus a few years back because I don't even think you ended up outsourcing for much more than two or three years. Why it makes sense and how much sustainable Hardware profit improvement you believe you can get from doing this? And then as a follow up, I also want you guys to maybe talk about whether or not your customers in, say the U.S. or North America are going to need to certify these third party facilities and their manufacturing capabilities for your international plans to maybe satisfying domestic demand.
Paul Langenbahn - NCR Corp.: Okay. Thanks, Matt. This is Paul. I'll try to catch as much of that as I can here, and maybe ask the team to fill in around the edges for me. So first of all going back, it's actually been a number of years ago. I think it's actually before I joined NCR, 7 years ago, it was like 9 or 10 years ago that we ran this play before. I mentioned it earlier, one of the big changes really is the capabilities of these providers, right. So that's an important thing to remember is that business has grown significantly and their capabilities have grown as well. We also, since that time, have simplified our product portfolio quite a bit. So, the number of ATM models, self-checkout models, point-of-sale models that we build, the number of SKUs we have, if you will, has been significantly reduced over the years. And those products more and more share common platform elements, right? So, we're using similar electronics assemblies, panels, enclosures, those sort of things to build our products. So, that's allowed us to also simplify the supply chain. So, all of the elements of doing this, quite frankly, have changed quite a lot in terms of us being able to look at other enterprises who've done the same sort of thing and been able to do it with quite a lot of success. Secondarily – and Mike mentioned this earlier, we went and brought in a leader from outside the company who's done this successfully with products every bit as complex at another company. So Adrian's here, that's a big part of why he's here at NCR is to help lead us through this. And we have a lot of confidence in him and his team to do it. The last thing I'll mention is, this is an important first step for us. It does contribute to the cost actions we're taking in 2018, but we have as I mentioned earlier quite a lot of the capacity we need in the three remaining plants. So think of this move is it does help us get some fixed cost out of the business for sure; make that cost more variable, it does allow us to scale up as demand dictates in a business that can be somewhat seasonal. So all that's good, but we'll still fulfill a great amount of our production from overseas. In terms of the customers, we fulfill customers all over the world from plants all over the world today. We don't see a significant change in that. We built certain products in certain plants, so I don't think there is a material difference there for us in terms of our customers. And we'll continue to kind of do the last mile of distribution of products that require shorter lead times for the U.S., from the U.S. So we have partners that will help us with that as well. So I think we're – as Mike said, this is his second day on the job and he's already had two meetings on this topic, because it's something that gets your attention pretty quickly when you step into the business. But I think we have a good plan. We're not charting new territory here. Other companies are doing this quite successfully and I think we've got the right team and the right approach to have a much better outcome than we had 10 years ago when we tried this the first time.
Operator: We'll go next to Paul Coster with JPMorgan.
Paul Coster - JPMorgan Securities LLC: Hi, yes. Thanks for taking my question. I've been doing this a long time and so you're going to forgive me for challenging some of what I thought was the complacency, implicit in the statement that 1Q somehow now validated what you're doing. Revenues are flat. Orders are flat. Cash flow is down year-on-year. You have another back-end loaded year which no one trusts. Hardware margins were down. Software margins were down. The shift to cloud and recurring is happening but it doesn't seem to be yielding any improvement in the margin. And so I'm not really sure what that's doing. The stock's down in the aftermarket and all of this is in the context of actually a pretty good end market scenario at the moment. So I'm not sure what was validated at all. I'm quite – well, as you can tell, I'm a little confused by what sounds like a rerun of what we heard this time last year. So maybe that doesn't require an answer, but you're welcome to try and answer it. In the meantime I have got a question about the fundamentals in financial services and retail. What's happening? I mean is branch transformation happening? Is the Windows upgrade cycle starting to kick in? What's happening with the Amazon threat to retail and how's retail responding?
Bob Fishman - NCR Corp.: Yeah. Paul, this is Bob. So, let me speak a little bit about the validation point from our perspective and you've heard us speak in the past about Q1 and Q2, it's all about orders. It's building the backlog. It's looking at the pipeline of opportunities. So, from our perspective Q1 and what we see in Q2 is on track to deliver that that back half of the business. Our cloud revenue got off to a good start both from a net ACV and a growth perspective. So, that's really what I was alluding to in terms of setting ourselves up. We had guided down versus the prior year in Q1. We came in on that operationally. We're seeing a similar Q2 But what we see in terms of the volume and the revenue that's required in the back half is very achievable.
Paul Coster - JPMorgan Securities LLC: Okay.
Operator: And we'll go next to Kartik Mehta with Northcoast Research.
Kartik Mehta - Northcoast Research Partners LLC: Hey, good afternoon. Bob or Paul, as you look at the ATM business and the backlog, do you think this is a year you can yet do flat Hardware growth in the ATM business or is it still a year that you think you'll see a decline in Hardware on the ATM side?
Bob Fishman - NCR Corp.: Yeah. Our view, Kartik, is that we will be roughly flat this year. Again, ATM orders were up slightly in the first quarter, which was a good sign for us. We continue to have a number of trends in our favor. We're now in the second year of the launch of the 80 Series. More and more of these ATMs are moving to recycling. And then finally we have the Windows 10, which will really be a multi-year benefit for the company. On the last call we sized that as a $200 million to $300 million opportunity over the next couple of years. None of that is baked into our guidance. And so when we speak to ATMs being up – being roughly flat, our view is that the benefit from Windows 10 will come in in 2019 and 2020. So those are all things that are positive from our perspective on the ATM piece.
Kartik Mehta - Northcoast Research Partners LLC: And then Bob, could you look at the Hardware business and the operating income year-over-year are declining, is that the result of just the self-checkout declining year-over-year? Or is there – is one product putting more pressure on margins than another?
Bob Fishman - NCR Corp.: It's primarily the Hardware revenue being down, and then the mix having less self-checkout in the quarter. Those were the two main factors for the challenging operating margin. Again, our goal is everything that Paul talked about, right, which is the manufacturing network redesign, continuing to drive that to more of a variable model. We'll see margins improve in the back half. Our view is that the margins in Q1 are not acceptable and that's why we've taken the actions that we announced a couple of weeks ago.
Kartik Mehta - Northcoast Research Partners LLC: And Mike, just a question for you. The one area where you have a lot of experience and expertise in is Internet banking and obviously now with NCR owning Digital Insight, I'm just interested in your thoughts on NCR and Digital Insight's ability to compete with the Fidelities of the world, which you told really well, Pfizer, and then Jack Henry.
Michael Dale Hayford - NCR Corp.: Yeah, Kartik, as you know, DI really was a leader out there in terms of establishing really a cloud-hosted solution in the early days, and then, a lot of the corporate values that kind of played the catch up. I think it's a great platform from the starting point along with some of our self-service capabilities of a brand, so along with our ATMs to – and we'll go out the market differently for the FIS than obviously the core players. We look at them in certain aspects. Obviously they're suppliers to us on the Bill Pay site for Digital Insight. But I think it gives us a great entrée point. And again, for me, this was about having a brand, having distribution and then be able to add additional products to go into cross-sell and we've had a great starting point with DI in the community bank space.
Kartik Mehta - Northcoast Research Partners LLC: Well, thank you very much. I appreciate it.
Operator: We'll go next to Rob Wildhack with Autonomous Research.
Robert Wildhack - Autonomous Research: Hi, guys. I just wanted to follow up on the ATM orders. Can you give us some detail on where that's coming from, what's driving the improvement, any particular types of clients, things like that?
Paul Langenbahn - NCR Corp.: Hey, Rob. This is Paul. Just to give you kind of a flavor for it. The Americas was particularly strong in ATM. And in fact that was – that was kind of up and down the market. So, it was encouraging to see that was an area that was particularly challenging for us last year. So, Bob, anything...
Bob Fishman - NCR Corp.: I would just say that it's nice to see a little bit of momentum in branch transformation. Over the last couple of years, we've mentioned that store and restaurant transformation has led the way but we did see a growth in branch transformation to Paul's point especially in North America.
Robert Wildhack - Autonomous Research: Got it. Got it. And then on the shift to the variable cost structure, obviously with this decision you're giving up operating leverage, which seems to be the bottom of the cycle. So, how should we think about this decision as it relates to the likelihood that there's a serious ATM replacement cycle coming in the near future? Thanks.
Bob Fishman - NCR Corp.: Yeah. And we hope that's the situation. Again, the numbers that I gave on Windows 10, that $200 million to $300 million opportunity, was really kits and upgrades that we were doing. We think there's a real opportunity for replacements as well for the reasons that I mentioned around branch transformation, recycling and the ATMs. We have that capacity even after this change to more than meet the market demand for that. That is not an issue.
Robert Wildhack - Autonomous Research: Got it. Thank you.
Operator: And we'll go next to Erik Woodring with Morgan Stanley.
Erik W. Woodring - Morgan Stanley & Co. LLC: Hey, guys, good afternoon and thanks for the time here. So I realize that you mentioned that backlog is flat year-over-year. But I'm just wondering if you could give some color on backlog on a segment basis compare to a year ago. So ATM, self-checkout, point-of-sale and software license year-over-year? Then I have a follow up.
Bob Fishman - NCR Corp.: Yeah. I would say from a flat perspective it's pretty much that way across the board. Software is up slightly, and then Hardware is roughly flat. Those are the two bigger pieces going into that, into the second quarter from a backlog perspective.
Erik W. Woodring - Morgan Stanley & Co. LLC: Okay. Perfect. Thank you. And then in terms of the weakness in software licenses this quarter, is there a way that you can approximate kind of what was from the uptick in the cloud and subscription? And then what was just the runoff from weak Hardware sale?
Paul Langenbahn - NCR Corp.: I think you can you can approximate it, Erik. But we report the attached number. You guys can see that. So think of that as being directly attributed to Hardware and then kind of between the unattached and cloud growth, you can kind of tie off the balance of it there. As long as we're in the unattached business, there can be some big transactions in there that get a bit lumpy. We had a very big Q1 last year. So one of the things that's so attractive not just for NCR but for any software company about moving more fully to a subscription model as you really smooth all that out to become much more predictable and sustainable in that regard. So, that's largely what we're navigating here and for reason we're doing it. And as our cloud business grows, our subscription business grows, that onetime software license revenue just becomes a smaller and smaller percentage of our business.
Erik W. Woodring - Morgan Stanley & Co. LLC: Awesome, thanks. And then if I can just fit in one last one, just curious if your view of the FX impact to revenue this year has changed from three months ago.
Bob Fishman - NCR Corp.: No significant change.
Erik W. Woodring - Morgan Stanley & Co. LLC: Perfect. Thank you very much, guys.
Operator: At this time, I hand the call back over to Mike Hayford for any additional or closing remarks.
Michael Dale Hayford - NCR Corp.: So I thank everybody for joining us today for the first quarter update. And we look forward to talking to you in the second quarter and providing an update on the second quarter. Thank you.
Operator: That does conclude today's conference. We thank you for your participation.